Operator: We will now begin the financial results briefing of KDDI Corporation for the Third Quarter of Fiscal Year Ending March 2024. I am Nakoji [Phonetic] of Public Relations Department and will serve as the moderator today. This briefing will be held in this venue and also broadcast live on YouTube and other media. Three financial results related materials are posted on our KDDI IR website. For the attendees in the venue, please check your handout.  Let me introduce the four participants today, Makoto Takahashi, President, Representative Director and CEO; Nanae Saishoji, Managing Executive Officer, CFO and Executive Director of Corporate Sector; Kenji Aketa, Executive Officer and Executive Director of Corporate Management Division; Shigeru Ezoe, General Manager of Accounting Department. President Takahashi, please.
Makoto Takahashi : Welcome. Let me share with you financial results of the third quarter of the fiscal year ending in March 2024. First of all, to the victims of the 2024 Noto Peninsula Earthquake and their families we offer our heartfelt support. KDDI have been working with related parties to quickly restore telecommunication services and support. From the left, for early restoration and securing communication of base stations we have been providing 200 units for portable existing base stations utilizing Starlink. In addition, we provided 550 units of Starlink to evacuation centers and disaster response agencies. There has been cooperation with NTT Docomo mutual utilization in base stations on ships, with Softbank mutual utilization in oil refueling bases have been carried out. Moving to the right, at evacuation centers, we are providing wireless LAN and charging facilities to help the evacuees feel safer. We continue our activities for full restoration.  Now let me focus on the third quarter business results. First, on consolidated financial results. In the third quarter of the fiscal year ending March 2024, cumulative results enjoyed increased revenues and income. The left shows operating revenues which were 40,265.5 [Phonetic] billion yen, up 2.0% year-on-year. The progress ratio was 78.5%. The rate is operating income which was 847.9 billion yen, up 0.4% year-on-year. Progress ratio was simply 8.5%. We will continue to aim for a full year forecast.  Next, on factors for change in the consolidated operating income; steady growth in focus areas overcame a decrease in Rakuten roaming revenue. From the left, group MVNO revenue and Rakuten roaming revenue were minus 31 billion yen. Multi-brand communications ARPU revenues were minus 70 million yen. DX was plus 11.3 billion yen. For financial business, there was a temporary accounting impact in FY 2023, which was minus 18.2 billion yen, but excluding that, the result plus 12.2 billion yen. As a result, operating income was 847.9 billion, up 3.2 billion yen year-on-year. Next concerns multi-brand ARPU revenues. The left shows the cumulative communications ARPU revenues from the first through the third quarter in FY March 2024, flat year-on-year. Higher revenues expected in the fourth quarter. The right shows total ARPU revenues, which are on the upward trend quarterly.  Next on the business segment. The left shows operating revenues, which were driven by NEXT Core with plus 30.4% year-on-year. Moving to the right, operating income, where growth was led by IoT and data centers. Mobile communications revenue also increased. Third quarter year-on-year result was 11.4% [Phonetic]. First through the third quarter cumulative result was 7.7% growth. We're still expanding the income increase and continue to aim for a full year double-digit growth.  Next let me share with you our satellite growth strategy towards a further growth orbit. First on 5G communications. We will focus on sustainable ARPU revenue growth and network quality improvement. This is 5G communications growth strategy; promote initiatives in both communications and value-added services and aim at maximizing total ARPU revenues and lifetime values. Please look at the left regarding communications ARPU revenues with the attractiveness of a new promotion of data usage and building high-quality network, we will further grow their revenues. Moving to the right, KDDI has a track record on strength in providing value-added services such as finance, energy, and entertainment. We will further expand these services. Please look at the bottom. In addition to promoting these efforts and trying to enhance customer engagement, we will utilize data driven generative AI and partnering to expand customer contact points.  Next, this shows communications business momentum. The left shows multi-brand IDs, which have been moving favorably at 31.06 million. Initial target of 31 million by the end of the term has been achieved ahead of schedule. We see an increase in new contracts, especially for UK Mobile and au to UK Mobile migration slowed. We are strengthening our initiatives to continue to be chosen by customers including attractiveness of au and higher network quality. Next on multi-branded ARPU, it maintains upward trend in both communications and value-added ARPU. The left shows communications ARPU, which was 3990 yen, up 30 in quarter-on-quarter. With an increase in data use, ARPU of au and UK Mobile grew. In au over 80% customers select unlimited usage plans. In UK Mobile, over 70% select unlimited usage plan or medium or large plan. The right shows value-added ARPU, which was 1270 yen, up 20 yen quarter-on-quarter. Product we support related needs increased to while increases in credit cards and mortgage loans are driving growth. To raise the attractiveness of au, we are expanding bundled service of telecommunication plus value-added that meets customer's needs. As shown on the left, customer's needs are changing in line with the changes in service use environment. Demand for data is growing with the development of 5G and interest in asset building is also growing partly due to the new NESA [Phonetic]. On the right, we are maximizing the value provided by expanding our bundled services in response to those changes. The au Money Activity Plan launched in September last year has been well received and we are enjoying strong subscriber growth. Through these initiatives, we aim to increase ARPU and reduce the churn rate.  Next is on our efforts to improve network quality. KDDI has long been deploying 5G areas along customers’ lifeline to connect their daily lives. As shown on the left, we are accelerating area expansion and plan to open approximately 90,000 base stations by the end of March. In addition, KDDI is working to enhance the quality of the customer experience by strengthening the 5G area and communication quality. Right side, Sub6 frequencies will be fully utilized in FY 2024 enabling high speed, large capacity and low latency communications over a wider area. We are planning to deploy the largest number of Sub6 base stations in the industry this fiscal year and will refine our communication quality further. We are also promoting efforts to respond to diversification of use scenes by utilizing Starlink. Left side, we are creating areas where we stay close to customers’ extraordinary scenes such as mountains, festivals, maritime and disasters. We are now planning to start handling Starlink in au shops to meet customer's needs for disaster measures. Right side, regarding direct communication between satellite and smartphone, SpaceX launched six satellites compatible with direct communication and succeeded in the communication test in January this year. Toward the start of service in 2024, we will promote verification with SpaceX and telecom carriers and government in each country. Next is DX. KDDI Business will expand customer contact points and promote partnering. To strengthen our corporate business in Japan and overseas, we launched a new corporate business brand as KDDI Business to accelerate our customers’ DX promotion. Brightside, KDDI’s strength is the large number of domestic and overseas customer contact points such as IoT, mobile and data centers and the operational system we have cultivated over the years. We will promote value-added data business by combining the vast amount of data obtained from those customer contact points with abundant group assets and AI and data infrastructure. We will also strengthen partnering to create industry-specific DX solutions. KDDI business will contribute to customers’ DX promotion and the resolution of social issues. IoT and data centers which serve as customers contact points to support the data business are expanding globally. Left side, the number of IoT connections exceeded 45.5 million combined with SORACOM. KDDI, on a standalone basis, exceeded 39.5 million achieving its initial target ahead of schedule. Growth in connected cars has been particularly strong. The entire group will continue to aim for further extension. Right side, connectivity data center revenue is growing at 21.7% year-on-year, thanks to increased demand. We opened new facilities in Frankfurt and Paris in 2023 and are receiving many inquiries. We will continue to invest aggressively, particularly in Europe, North America, and Asia. Next is our initiatives with our partners to promote DX. Left side, we established a new company Nexa Ware with Tsubaki to promote DX in the logistics industry. By combining the strength of the two companies, Nexa Ware aims to realize warehouse automation and data-driven optimization to solve problems faced by the logistics industry. Right side, Japan Airlines and KDDI Smart Drone formed a capital and business alliance for the social implementation of drones. The partnership aims for safe and secure flight management and expansion of usage by utilizing gels, air transport, business technology and KDDI Smart Drone’s flight management system and communication infrastructure.  Next is finance and energy business. We aim to further expand our customer base through synergy with telecommunications. Financial business is progressing steadily. Left side, au Financial Holding’s operating income grew strongly by 87.7% year-on-year, excluding the impact of accounting treatment changes in the year ending March 2023. As shown in the middle, settlement and loan transaction volume also grew steadily by 23.3% year-on-year. Right side, our financial customer base such as credit cards and banking is also growing steadily.  Next is focused services namely credit card and bank businesses. Left side, au PAY Gold Card grew strongly reaching 1.07 million numbers which is up by 48.6% year-on-year. Growth is accelerating through synergy with telecom. As shown in the middle, au PAY card subscription rate for au money activity plan is 4.4 times that of other rate plans, of which Gold Card selection rate is approximately 3.5 times. Right side, mortgage loan balance grew strongly to reach 2.6 trillion yen, up by 60.6% year-on-year.  Next is energy related initiatives. In addition to expanding the number of contracts, we will promote initiatives for carbon neutrality. Left side, au Denki is working to stabilize its business by reviewing the procurement and sales method. We aim to achieve sustainable business growth by increasing the number of contracts going forward. Right side, we are promoting the use of renewable energy generation for base stations. Upper row, au Renewable Energy started operating solar power plant in December 2023. The electricity generated is supplied to au base stations. Bottom row, we started a demonstration trial to generate electricity by wrapping bendable Perovskite solar cell around the base stations.  Next initiatives toward further growth. MWC, Mobile World Congress, Barcelona is fast approaching this later this month. KDDI will exhibit for the first time this year under the theme life transformation, enhancing the power to connect. Left side, at MWC, KDDI will introduce DX and LX initiatives for the future including mobility, space and metaverse. Right side, KDDI is aiming for the next stage of growth and evolving the LX area to realize the future society of consumption diversification, mobility society, and new technology utilization. We will discuss these strategies in more detail in our next full year financial results briefing.  Finally, today's summary. Consolidated results for the first nine months show an increase in both revenue and income. We will continue to aim to achieve our full year forecasts. Steady growth in focus areas overcame the decrease in Rakuten roaming revenue. We will promote each initiative of the satellite growth strategy toward a further growth orbit. In 5G communications, KDDI will promote initiatives for sustainable ARPU revenue growth and network quality Improvement. In corporate business, we will promote KDDI business and accelerate customers DX promotion based on our strength in telecom. In finance and energy business, we will further expand our customer base by synergy with telecommunications and will further evolve LX area for sustainable growth and realization of future society.  This concludes my explanation. Thank you very much for your kind attention.
Operator: Thank you for waiting. We now would like to start a meeting on KDDI financial results of the third quarter for fiscal year ending March 2024 questions and answers session. Thank you so much for joining us out of your busy schedules. I am Miyakawa [Phonetic] from IR department. The meeting is broadcast live on the Internet with Japanese and English simultaneous translation. Please be advised that the meeting will be later made available on our IR website for on-demand distribution.  Let me introduce today’s attendees. Executive Vice President and Executive Director of Personal Business Sector, Amamiya; Senior Managing Executive Officer, CTO, and Executive Director of Technology Sector, Yoshimura; Senior Managing Executive Officer and Executive Director of Solutions Business Sector KDDI Group Strategy Division, Kuwahara; Director and Executive Director Personal Business Sector, and Executive Director Business Exploration and Development Division, Matsuda; Managing Executive Officer, CFO and Executive Director of Corporate Sector, Saishoji; Executive Officer and Executive Director of Corporate Management Division and Corporate Sector, Aketa. Today, we have uploaded three items related to business results, one presentation punching details and materials on our IR website. Please read the disclaimer in each document about what is listed in the material, outperformance including what will be shared during the Q&A and subscription targets. Managing executive officer CFO, Saishoji, will brief you on the summary of the business results, followed by the questions and answered session.  Ms. Saishoji, the floor is yours. 
Nanae Saishoji: Thank you very much for joining us in the KDDI’s business results meeting after of your busy schedules. Before entertaining your questions, let me share with you a summary of the third quarter results of the fiscal year ending in March 2024. The cumulative results at the third quarter of the fiscal year March 2024 recorded increase in revenues and income. The left shows 40,265.5 [Phonetic] billion yen, up 2.0% year-on-year. The progress ratio was 73.5%. Right hand side, year-on-year, plus 0.4%, the progress ratio was 78.5%. We'll continue to aim for a full year forecast.  Next on factors for changing the consolidated operating income. Steady growth in focus areas overcame a decrease in Rakuten roaming revenue. From the left. Group MVNO revenue and Rakuten roaming revenue were minus 31 billion yen. Multi-band communications ARPU revenues while minus 70 million yen. DX was plus 11.3 billion yen. For financial business, there was a temporary accounting impact in FY 2023, which was minus 18.2 billion yen. Excluding that, the result was plus 12.2 billion yen. Energy business was plus 12.2 billion yen. As a result, operating income was 847.9 billion yen, up 3.2 billion yen year-on-year.  Next concerns multi-brand ARPU revenues. The left shows that cumulative communications ARPU revenues from the first through the third quarter in FY March 2024 were year-on- year flat. Higher revenues are expected in the fourth quarter. The right shows total ARPU revenues which are on the upward trend quarterly. Next is telecom business momentum. Left side, multi-brand IDs performed well at 31.06 million. The initial target of 31 million was achieved ahead of schedule. New subscriptions are increasing, especially for UQ Mobile, while au to UQ Mobile migration has slowed. We will continue to strengthen our initiatives to raise the attractiveness of au and improve network quality to continue to be chosen by customers.  Next is multi-brand ARPU. Both communications and value-added ARPU are maintaining an upward trend. Left side, communications ARPU reached 3990 yen, up by 30 yen on a quarter-on-quarter basis. au and UQ Mobile ARPU grew, thanks to increased data usage. More than 80% of au subscribers chose unlimited usage and over 70% of UQ Mobile subscribers chose medium and large capacity plans. Right side, value-added ARPU reached 1270 yen, up by 21 yen on a quarter-on-quarter basis. Growth was driven by an increase in product support related needs, as well as growth in credit cards and mortgage loans.  Next is business segment results. Left side, operating revenue growth was driven by NEXT Core, which grew by 30.4% year-on-year. To the right, operating income was driven by growth in IoT and data centers and increase in mobile communications revenue. Growth was 11.4% in the Q3 alone and 7.7% in Q3 year-to-date. Profit growth is steadily increasing, and we continue to aim for full year double-digit growth.  Finally, today's summary. The consolidated results were just explained. We will promote each initiative of the satellite growth strategy toward a further growth orbit. In 5G communications, KDDI will promote initiatives for sustainable ARPU, revenue growth and network quality improvement. In corporate business, we will promote KDDI business and accelerate customers’ DX promotion based on our strength in telecom. In finance and energy business, we will further expand our customer base by synergy with telecommunications and will further evolve LX area for sustainable growth and realization of future society.  This concludes my explanation.  We will now move on to the Q&A session. Thank you very much again for today.
Operator: Ms. Saishoji, thank you. Now we would like to entertain your questions. As we'd like to offer an opportunity to ask questions to as many of you as possible, limit your questions to two. If you have two questions, wait for the answer to your first question and raise the second question please. How to raise a question, please tap the raise hand icon of the Zoom when invited after the moderator analysis, your name and affiliation, tap unmute and ask her a question. We'll accept questions until the scheduled time.  First question, Daiwa Securities, Ando San. Please unmute and raise a question. 
Yoshio Ando: Can you hear me? 
Unidentified Speaker: Yes, we can hear you. 
Yoshio Ando: Two questions. First question ARPU revenues. This time it's almost flat. As for the interpretation outlook, in the fourth quarter is likely to increase. Share with me your interpretation, as I look at the subscribers, they are doing okay. In terms of the ARPU, perhaps you could have done better. That's how I look at it. But this is the breakdown, what are the factors behind and going forward? Regarding those factors towards the fourth quarter, how are they go into move? What is your outlook, please? 
Unidentified Speaker: Thank you for your questions, multi brand or other revenues related question, Amamiya will address your question. 
Toshitake Amamiya: About ARPU. Firstly, communications ARPU revenues, they are brisk right on track. Looking at the third quarter, if you look at the data, third quarter alone, minus 900 million yen year-on-year. So this is negative figure with just by several 100 million but unfortunate but first quarter through the third quarter, year-on-year, this difference has shrunk. So in the fourth quarter, it's likely to be on the positive territory so that we can have the growth. In the next fiscal year, we are making efforts. Regarding ARPU, regarding those where they're a bit weak, as we look at the factors, voice and data. Regarding voice, it was a bit weak. Last year, concerning the voice, partly because of the COVID-19, it was weak, but we were not really able to see that. On the other hand, data has been enjoying steady growth and we believe that data will continue to enjoy growth. So we believe that is going to move into the favorable manner. Communication software revenues, first through the third quarter, it enjoyed steady growth; regarding the fourth quarter, because of the seasonal variation, every year, there is a little bit going down, but we hope that we can at least keep it flat or even do better. So please feel reassured. 
Yoshio Ando: Thank you. Second question. Page six, regarding that chart, at the very end, others, how should I interpret those others? Plus is 16.7 billion yen, I think that's cumulative number but up to second quarter, that's plus 15.5 billion. So first quarter, second quarter, as I look at this, second quarter strong growth, first quarter, not much. So regarding the others part, to begin with, my interpretation, should I interpret that the I shouldn't expect much growth or until December, handouts sales, they were really sold overwhelmingly, maybe it's because of the adverse impact, but the increase in the sales, that's part of the picture and you expected it to grow a little more, but this others portion did not grow. And as a flat -- it was -- the performance was flat. How should I interpret this? That's my question. Thank you. 
Toshitake Amamiya: Thank you for your question. In this material, page three, these is step-chart on the right hand side to 16.7 billion others, you raise that question, so allow me to address your question. Others 16.7 billion yen, what are the major factors as you can see, we got it the major ones depreciation decrease. So the 11.5 billion increase in income, we already disclose them, by quarter depreciation decrease. Regarding that size, no major changes; in the third quarter it accumulated to 11.5 billion yen. Regarding others, how to use or support for configuration, product support revenue increased, that's another positive factor. Regarding the numbers, I hope you will forgive me for not disclosing them. On the other hand, as you said, handset sales, device sales, as a result of the promotion, the sales support or commission they incurred in rather large amounts, so product support revenue increase was somewhat offset. Especially regarding the sales promotion, there was significant activity in the third quarter, so the second to the third quarter the positive increase was not so significant. Did I answer your question? Thank you.
Operator: Thank you very much. We will take the next question. Please use the raise hand button on Zoom. Next question SMBC Nikko Securities, Mr. Kikuchi. Please unmute yourself and ask the question. 
Satoru Kikuchi : This is Kikuchi speaking. Thank you very much. I have two questions. First, is on the churn rate, the environment of churn rate. Third quarter compared to Q2 and on a year-on-year basis, sub brand mix is increasing and that is a large factor I understand. So, am I right and what I want to understand is in Q4 the telecom business law was revised at the end of December and therefore, churn rate declined and the contract costs declined and sub-brand migration also slowed down. This is ideal to see that, but do you think that will happen or looking at the stores that it is unlikely, so the churn rate and your fourth quarter outlook please. That is my first question. 
Unidentified Speaker: Thank you for the question. So, first of all business question will be answered, especially on the competitiveness and churn rate Amamiya will answer the question. 
Toshitake Amamiya: Thank you for churn rate. As you rightly mentioned, the detail is au churn rate is improving, UQ is declining somewhat or the churn rate is increasing. But if we look further, the reason churn rate is rising is because the SIM-alone customers churn rate is increasing, for customers with SIM only. If customers who buy with device, the UQ customers who buy with device, we see not much change, we don't see much change. Going forward, telecom business law was revised, so SIM alone will also be regulated. So unlike for third quarter, we will not or we cannot use much money for those who only go for SIM, so this part will be suppressed in the fourth quarter, so the churn rate there will move in the positive direction. But on the other hand, with the revision of the business law, the movement of the devices, up until December 26, there were some last minute demand and sales increased. From the 27th, we see a decline, but this decline was only the first two weeks after that we're seeing a gradual recovery and right now it is pretty much flat year-on-year. So for the sales season in March, we will accelerate the device sales and increase ID numbers. Thank you very much. I hope this answered your question. 
Satoru Kikuchi: So telecom business law revision impact in your financial results and on your competitiveness, what impact do you anticipate? 
Unidentified Speaker: Thank you very much for the question. So the impact of the revision of telecom business law, Amamiya will answer the question. 
Toshitake Amamiya: So as I mentioned earlier, before and after December 27, there were some big impact, but we are seeing a recovery after that. So going forward, we will try to achieve the last year's level -- sell our device so that we can achieve last year's level and increase the number of IDs and the communication ARPU revenue. We hope that we can increase our results. On the cost side, as you know the acquisition cost will incur, but, with IFRS, there will not be much impact on a single year basis, so we think this will be a positive. 
Satoru Kikuchi: Thank you. So that was first point and second point. At the beginning of the year, you said you will see a V type recovery next year in the communications revenue. Does it seem likely? It doesn't really seem so. So, for next year, to achieve your medium term plan, I think you're still convinced you will achieve the plan, if there are measures on cost side and revenue side to achieve the medium-term plan target, please share them with us. 
Toshitake Amamiya: Thank you for the question. So the question is for the consolidated basis or personal segment alone. 
Satoru Kikuchi: Overall please, overall medium-term plan target 
Toshitake Amamiya: Thank you. For this fiscal year, financial results from third to fourth quarter, we talked about cost just earlier. We need to enhance our competitiveness in the fourth quarter. So to prepare ourselves to be more competitive, we need to invest more cost. But consolidated this consolidated operating income of 1.080 trillion yen will still be pursued, the target we had at the beginning of the year and next year. I'm sorry to say this, but we want to share that with you along with the guidance when we announced the full year financial results, but we have been maintaining the operating income increase, so we want to maintain the trend and achieve profit increase, au business we want to turn this around and no change in our stance there. Thank you very much.
Operator: Thank you very much. Next question, please. Please tap the raise hand icon if you have a question. Next question, Nomura Securities’ Masuno san, please unmute yourself and raise your question. 
Daisaku Masuno: There might be some overlapping regarding my question number one, personal business; second, concerning the corporate business, so two questions. So sorry, because there are a lot of follow-ups, in the third quarter communications ARPU year-on-year, it's not really an increase. The larger capacity data increase on the UQ Mobile, the relations about the mix in the fourth quarter, what's going to happen? The access charge in the fourth quarter, it's not going to go down compared with the previous year. In the fourth quarter, ARPU is likely to increase but am I correct? And sales promotion, as you mentioned already in your explanation, handset sales, there was a sales promotion with some commissions, but using IFRS I don't really think cost is incurred because they are installment. And also churn rate, January and onwards, going back to year-on-year, I think you're referring to sales. So, what about the churn rate, is it year-on-year? So I'm so sorry about the follow-up questions, but these are for clarification. 
Unidentified Speaker: Thank you for your questions. Personal ARPU, churn and sales promotion costs, Amamiya will address your question. 
Toshitake Amamiya : First about ARPU, at the risk of repeating myself, at the moment do we believe that it's recovering nicely? Regarding au, money activity plan has been doing very well and max plan, the unlimited plan, has seen a lot of increase. ARPU has gone up as well. As for UQ, call me plan has been doing very well. Within UQ and meet capacity, large capacity, so call me, call me, and [Indiscernible], the ratio of these two have gone up. UQ, au, regarding by brand ARPU, they have been increasing nicely. So communications ARPU revenue are concerned going forward, we believe this trend is likely to continue, so please interpret in this way. Now about the churn, regarding the January data, we don't have them at our hands, so we don't really know. But regarding January because of the backlash of perhaps of the last minute sales in December, churn rate seems to have increased a little but I think it will recover. And acquisition, cost regarding the acquisition cost, as I said, with IFRS, it will be deferred. So in the single year basis, I don't think there's going to be a large impact, but in this fiscal year, it will be listed, so that portion might increase a little, I hope I answered your question. 
Daisaku Masuno: In the fourth quarter access charge will not go down so much as in the last year. So in the fourth quarter, year-on-year ARPU perhaps is likely to go up. Am I correct? And the churn rate compared with January, March last year, it's about the same level. Can you clarify those points, please? 
Toshitake Amamiya: Sorry, could you state your question again?
Daisaku Masuno: In the fourth quarter ARPU, in terms of data, it's expanding and access charge negative portion is not so much as the fourth quarter in the previous year. So the ARPU in the fourth quarter year-on-year is going to go up. Am I correct in assuming that? 
Toshitake Amamiya: Yes, you are correct in assuming that. Regarding the impact of access charge, without that, we believe that we can recover to the positive territory. In terms of access charge, I think it's moving nicely, so compared year-on-year, we believe it is going to be in the positive territory. About the churn rate, 4Q, as a fourth quarter as a whole, regarding that, we don't really know the outlook or estimate, it's difficult for me to say. Probably because of the revised telecom business law, I don't think the liquidity goes down, the liquidity should be raised this year, year-on-year almost comparable to the last year's results, that's what we are looking at. 
Daisaku Masuno: Thank you. Next concerns corporate business, third quarter fourth quarter contact center business integration, Canada data center acquisition, there are M&A's integration, there is an impact from this. So going forward, how the income will be increased? It's difficult to see it on the extension of the existing business, but looking at the next fiscal year, they may actually make a contribution and there might be some organic increase there. But in terms of operating income, double digit growth is pursued organic or including all these measures in the next fiscal year. No changes to that goal or objective. Am I correct in assuming that? Could you revisit to that again? 
Unidentified Speaker: Thank you for your question. On that one, Kuwahara will address your question. 
Yasuaki Kuwahara: Thank you. First of all, this fiscal year’s income from the quarter one first quarter to the third quarter, first quarter and second quarter, there was no impact from M&A. So starting from the second half of the year, that's been added, Canada data center and call center I'm talking about. And also the higher fuel costs compared with the previous year there was some impact in the first half, but in the second half, that's gone, so starting from the third quarter, the income level has expanded. Regarding this fiscal year, since the beginning of the term, double-digit income growth is something we have been stating. So towards that goal, we would like to move steadily. As far as going forward, the data center, call center integration, the income from them, that will be felt on a full year basis in the next fiscal year. And NEXT Core business, steadily they are enjoying growth. There are three areas and each is enjoying growth. So in the next fiscal year, we believe that we can have that robust growth. I hope I answered your question. Thank you.
Daisaku Masuno: Thank you very much. That's all from me.
Operator: Thank you very much. We will take the next question. Please use the raise hand button on Zoom, if you have any questions. Next question, Okasan Securities’ Mr. Okumura, please unmute yourself. 
Yusuke Okumura: Hello Okumura from Okasan Securities. Thank you. I have two questions, overlapping questions. One is the corporate and mobile competitive landscape. So towards the end of the year, Rakuten Mobile net add increased, accelerated, I saw in the release. In corporate, I think it's the pure net add. So, maybe not much impact on you, but is that the correct understanding? And January, March quarter, given this situation in this quarter, what is the business environment against peers, were there any changes in the competitive landscape?
Unidentified Speaker: Thank you for the question. So, corporate business, mobile situation, so mobile, including corporate and mobile, Amamiya will answer that question. 
Toshitake Amamiya: So competitive landscape, especially vis-a-vis Rakuten, as you rightly said, in corporate new subscribers is increasing but on consumer side and the business side, corporate side, we do not see much impact. So 6 million mark was exceeded, 6 million connections, but vis-a-vis MNP no big difference. And we look at the roaming traffic and there's not much change there either, so no notable change. Did I answer your question? Thank you. 
Yusuke Okumura: And my second question is on next year's view of the operating income guidance, not numbers, but I want to ask you for the image. The roaming will decline roaming revenue will decline but ARPU will revenue will increase and the focus area will increase in cost efficiency can bear fruit, and so we think the profit, the income will jump up next year. Are there risks that you did not anticipate or any cost increase that you anticipate just the general direction is fine. Thank you very much. 
Unidentified Speaker: Thank you for the question. So, let me answer your question. Right now, we are taking various measures for next year. And depending on how this builds up, our starting line will be determined. So in order to increase our income, we are taking thorough measures. Our medium term plan target, the revenue and operating income are now being revisited. So, we will start discussing the plan for next year and then fix it and announce it in May. So the numbers and the breakdown will be in May. I hope we could wait till May but our general thinking is that we will continue pursuing for growth. So the focus areas, our business segment, energy and finance businesses, so the increase income -- increased trend, this is what I would like you to take a look at going forward. I'm sorry for a very ballpark rough view. Does this answer your question? Thank you very much. 
Yusuke Okumura: Thank you very much for answering my question.
Operator: Thank you. Next question, please. If you have a question, please tap the raise hand button on the Zoom. If you have a question, please let us know. There seems to be no one who would like to raise a question. With this, we’d like to conclude the meeting on the fiscal year ending March 31, 2024 KDDI’s Q3 financial results. Thank you so much for joining us.